Operator: Good morning, everyone, and thank you for participating on SharpLink's webcast. Joining us from SharpLink Gaming today is Rob Phythian, Co-Founder and CEO; Bob DeLucia, SharpLink's CFO; and Dodi Handy, Director of Communications. Before I turn the floor over to them, I remind you that during today's call, statements that are not historical facts, including any projections, statements regarding future events or future financial performance or statements of intent or belief are forward-looking statements and are covered by the safe harbor disclaimers contained in the company's public filings with the SEC. Actual end results may differ materially from what is expressed in or implied by these forward-looking statements.  With that said, I'd now like to introduce Dodi Handy. Dodi, the floor is yours.
Dodi Handy: Thank you, Kat, and hello, everyone, and welcome to SharpLink Gaming's First Quarter 2023 Earnings Call. Before we begin, I'd like to thank all of the shareholders who kindly submitted questions to us in advance of today's call. We greatly appreciate your active engagement and helping us to ensure that we cover the topics of most relevant interest to you. We're going to be kicking off today's call with Bob DeLucia first reviewing the financial results for the 3 months ended March 31, 2023, after which Rob will endeavor to address the questions we've received.  So with that, Bob, I'm going to turn it over to you.
Robert DeLucia: Thanks, Dodi. In my remarks today, I'll discuss our quarter 1 financial performance. All the financial metrics will be discussed on a GAAP basis and all comparisons will be discussed on a comparable quarter-over-quarter basis.  Yesterday afternoon after the market close, we filed our first quarter report on Form 10-Q with the SEC. If you've not had a chance to view it, you may access it on sec.gov or via the SharpLink's Investor Relations section on our website under SEC filings. I encourage everyone to read our 10-Qs and other SEC filings to ensure you have a full understanding of our business and financial results and important information disclosed.  In quarter 1 2023, our revenue growth was notable, rising 79% to $3.39 million from $1.9 million for the first quarter of 2022. The increase was largely attributable to the new revenue contribution from our SportsHub Gaming network, which we acquired in late December 2022. However, we saw revenue growth across each of our business segments. Specifically, the newly merged SportsHub/Fantasy Sports group contributed $1.4 million for the 3 months ended March 31, 2023, which compared to $0 in the prior year. Revenue generated by our Sports Gaming Client Services group rose 17% to $1.05 million from $911,000 on a comparable quarter-over-quarter basis.  Our Affiliate Marketing international business group contributed $1.01 million to total Q1 2023 revenues, which was up 9% when compared to the $924,000 reported for the same 3-month period in 2022. And finally, our Affiliate Marketing U.S. business segment saw revenues climb 355% to $280,000 from $62,000 for the 3 months ended March 2023 and '22 respectively.  Our gross profit increased 114% to $1.34 million in Q1 of this year, which compares to a gross profit of $627,000 in the previous year's first quarter period. Further, our gross profit margin also improved, thanks to our expanding mix of higher-margin products and services to 40% from 33%.  Moving down to P&L. SharpLink succeeded in reducing our quarterly operating expenses by 51%, which declined to $3.6 million for the 3 months ended March 31, 2023, compared to $7.55 million in the first quarter of 2022. After factoring the net loss discontinued operations of SharpLink's legacy MTS business of $145,000 for the first 3 months of 2023 and a net loss from discontinued operation business of $108,000 for the same 3-month period last year, our net loss declined 60% to $2.82 million or $1 per basic and diluted share from a net loss of $7.04 million or $2.99 loss per basic and diluted share, respectively, representing a significant improvement.  Now moving over to the balance sheet. As of March 31, 2023, we had $28.83 million in cash and $10.97 million in restricted cash. This compares to cash of $39.33 million and $11.13 million in restricted cash as of December 31, 2022. The decrease in cash and restricted cash is primarily attributable to the payouts for the Fantasy Sports prices following the end of the 2022-2023 NFL season that occurred in January. This was offset by payments received for the beginning of the 2023 Major League Baseball season as well as our normal working capital spend.  During the first quarter of 2023, our financing activities resulted in $4 million raised via a senior convertible debenture with one of our largest institutional investors. In addition, we also secured $7 million line of credit from our primary lender, Platinum Bank. So there can be no guarantees. We believe the cash on hand in connection with the cash generated from our revenues will be sufficient to fund the next 12 months of operations from March 31, 2023, notwithstanding any extraordinary acquisition opportunities or unanticipated challenges that we may encounter as the year unfolds.  That now concludes my review of the Q1 financial results. So I turn the floor back to you, Dodi.
Dodi Handy: Thank you, Bob. Okay. So now I'd like to welcome SharpLink's Co-Founder and Chief Executive Officer; Rob Phythian to our call. Hi, Rob.
Robert Phythian: Good morning, Dodi, and good morning to everyone joining our Q1 results webcast.
A - Dodi Handy: Rob, why don't we get started with discussing the recent 1-for-10 reverse stock split? Received quite a few phone calls regarding this. On our last call, you had mentioned that you believe SharpLink would qualify for an additional 6-month period with NASDAQ, in which we could work to regain compliance with the minimum bid price requirement. But that appears not to have been the case. What transpired that led our company to implement the reverse immediately?
Robert Phythian: That's a good question. When we approached NASDAQ about starting the process to request the additional grace period in early April, we were informed that we did not qualify for the extension. As a consequence, we were required to affect the reverse stock split as approved by our shareholders earlier this year and trade for 10 consecutive trading days above the minimum $1 bid requirement to regain compliance.  On Wednesday of last week, May 10, after trading above $1 for the requisite 10 trading days, we received the notice from NASDAQ that we had indeed cured the deficiency and then our shares would not be suspended or delisted and the matter is now closed. We'll continue to trade on NASDAQ.
Dodi Handy: Well, that's great news, Bob. Nonetheless, our stock has taken a serious beating in the market over the past 1.5 years. Why do you believe that is?
Robert Phythian: That's another good question and one that is not as simple to answer. Last week, I, along with several other members of our leadership team, attended the SBC Summit in the Meadowlands, New Jersey. At this key industry conference, discussions regarding stock market performance of publicly traded companies operating in the sports betting space was a hot topic of conversation among attendees, and a source of great concern and frustration for all of us. Virtually every company in our peer group suffered greatly with the industry mean reflecting stock price depreciation of approximately 61%, and the industry means reflecting over 82% in loss of value. While there are a few who've begun to experience a recovery within this group, as a whole, we have a long way to go to regain the ground lost in 2022.  Looking at SharpLink, we are currently trading at a sales multiple which is under 1x sales and well below the industry mean of over 1.5x sales for our peer group based on trailing 12 months results. Said another way, if we were trading just at the mean peer group sales multiple of 1.6x revenue, our stock price should be trading at or above $4.90. If we were to annualize revenues for 2023 based on our Q1 results, we are on pace to achieve over $13.5 million in revenues this year without factoring in any meaningful growth. When factoring this amount of revenue times the same prevailing sales multiple of 1.6x revenue, our stock price would be closer to $8 a share. Again, this is without giving consideration to anticipated growth we expect to achieve this year.  So it is our belief that the market will ultimately correct as we continue to demonstrate through performance that SharpLink is worthy of a much higher market value and appreciation.
Dodi Handy: All right. Well, you mentioned you were at the SBC Summit last week. So in addition to everyone's shared frustration with stock market performance in the U.S. sports betting sector, were there any other common themes you saw emerge from that event?
Robert Phythian: Well, the good news is the primary takeaway, at least for us, was how the use of technologies such as SharpLink's C4 conversion technology is going to impact the growth of the industry in the coming years. There is a great deal of strategic discussion around how marketing and brand strategy for leagues, media operators and sports books has continued to evolve under the pressure to adopt to smarter, acquisition conversion of players to revenue generators through the use of technology-enabled solution, that's us.  By utilizing analytics and insights, our industry is realizing the power of making informed brand decisions based on player preferences. Well, that's at the heart of what C4 technology does. So it was refreshing that others in the industry are starting to listen to what we've been preaching for the last few years. We sat in on one illuminating panel discussion, which endeavored to define what the end goal is when utilizing customer data in sports betting. From SharpLink's perspective, the answer is converting fans into sports betters in the most cost-effective, efficient way through the use of our technology. It is the premise on which we are founded, building the tools necessary from the ground up to meet the unique needs of the emerging U.S. market rather than trying to retrofit European technology. Moreover, the use of AI and machine learning in sports betting and iGaming is becoming increasingly popular due to its potential to improve user experience, drive higher conversion rates, minimize harm and detect fraudulent activity. Again, part of the hymn we've been singing for years.  We are also not surprised that our industry has begun to appreciate the value of free-to-play games and the role that they are playing in converting sports fans to sports betters. It appeared at the show that the general consensus is that 2023 will see a huge focus on leveraging the reach and audience of free-to-play gaming assets to drive fan engagement and conversions. That is and will remain a fundamental component of SharpLink's business building platform and a business that I would argue we are considered one of the best.  Our Sports Gaming Services group has well over 15 years of experience in this space, and we are solidly entrenched in our long-standing relationships with virtually all of the major sports leagues, sports media operators in a growing list of leading sportsbooks such as BetMGM and Tipico among others. So generally speaking, the insight we gleaned from the conference has reinforced our belief that SharpLink is on the right track and we're well positioned for potential dynamic growth in the coming quarters.
Dodi Handy: Okay. Thanks for providing your perspective, Rob, on what's going to be possible for SharpLink in the year ahead. I'd now like to use this opportunity to remind all shareholders that SharpLink has mailed its proxy for our upcoming Annual General Meeting of Shareholders. That's going to be held in Minneapolis on May 25. It's very important that you review the material supplied and vote your proxies as soon as possible. Up for vote is the reelection of our Board of Directors, ratification of our auditors for the 2023 fiscal year, our shareholders' election to have say-on-pay either every year, every 2 years or every 3 years, approval for the company to issue greater than 20% of our issued and outstanding shares if and when necessary, in compliance with the NASDAQ rules and in connection with the convertible debenture we secured in February of this year. And then finally, any other matters that may be properly brought before the meeting.
Robert Phythian: You're right, Dodi. It is vital that every shareholder submit their vote as soon as possible. We will require 25% of all shares issued and outstanding to achieve our required quorum. And then the proposals up for the vote will require 50% of all the shares votes to be approved. Going through preparing and mailing the proxy is a costly but necessary process. So we'd like to get completed successfully the first time. I'll add that our Board of Directors encourages all shareholders to vote in favor of each of these proposals. So please get your votes in.
Dodi Handy: Okay. Before we conclude today's call, do you have any final thoughts you'd like to share, Rob?
Robert Phythian: Yes, Dodi, I do. The decline in our share value has hurt all of us in the sports betting industry. We're not sure how volatile the macroeconomic conditions confounding the general market performance will persist. Nonetheless, you can bet that all of us at SharpLink are committed to succeeding and delivering tangible results that reflect our hard work and dedication to our mission. I'd like to thank all of my fellow shareholders for your continued support and your belief in our team. Your trust is not misplaced. We intend to prove that to you in the coming quarters. So please pay close attention as we continue to evolve and execute on our exciting plan.
Dodi Handy: Okay. Thank you, Rob, and thanks to you, Bob, as well. Folks, our next quarterly webcast will be held following the release of our second quarter results, which is expected to happen on or about mid-August. So for those of you who would like to listen today's webcast again, a replay of this call will be available later today on our website, sharplink.com. So with that said, I'd like to wish everyone a great day. So Kat, the floor is back to you.
Operator: Thank you. This does conclude our conference. We thank you for your participation. You may disconnect your lines at this time, and have a wonderful day.